Operator: Good day, ladies and gentlemen, and welcome to the PDC Energy First Quarter 2019 Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to Michael Edwards, Senior Director of Investor Relations. You may begin, sir.
Michael Edwards: Good morning, everyone, and welcome. On the call today, we have Bart Brookman, President and CEO; Lance Lauck, Executive Vice President; Scott Reasoner, Chief Operating Officer and Scott Meyers, Chief Financial Officer. Yesterday afternoon, we issued our press release and posted a slide presentation that accompanies our remarks today. We also filed our 10-Q. The press release and presentation are available on the Investor Relations page of our website pdce.com. I'd like to call your attention to our forward-looking statements on Slide 2 of that presentation. We will present some non-US GAAP financial numbers today, so I'd also like to call your attention to the appendix slides of that presentation where you'll find a reconciliation of those non-US GAAP financial measures. In regards to proxy matters as well as to access materials. Please go to the website [indiscernible] pdc.com. With that, we can get started and I'll turn the call over to Bart Brookman, our CEO.
Bart Brookman: Thank you, Mike. Good morning, everyone. First quarter 2019 is strong quarter for the company and on target with our expectations. Today the team will give details on the quarter and outline significant steps in our ever improving outlook. These include enhanced capital efficiency in both basins. The company's operational excellence we brought on a series of tremendous wells in the first quarter. Cost improvements, free cash flow outlook and our financial strength. I hope you leave today's call with clear understanding of the tremendous opportunities the company has for ongoing success for many years to come. Let me start with some quarterly highlights. When compared to the first quarter of 2018, a 26% improvement in production for the company to 11.2 million barrels of oil equivalent or 125,000 Boe per day. Wattenberg production improves 30% when compared to the first quarter of 2018. This is primarily due to the strong work of our operating team over the last 12 months along with the ongoing improved line pressures related to DCP's Plant 10 startup which occurred last August. In Delaware production improved 20% year-over-year. In our drilling and completion efficiencies continue to make tremendous progress with improvements in our drill times and completion designs. Also in the Delaware, our oil marketing arrangement continues to shine leading to strong netbacks for the quarter of 97% of WTI. From a financial perspective adjusted EBITDAX $209 million, LOE $3.14 per Boe, G&A improved dramatically from 2018 levels to $3.53 per Boe, capital spend for the quarter $282 million. This is slightly ahead of our plan due to ongoing improvements in our drill times and completion efficiencies in both basins, but we're on target for our $840 million spend for the full year. Both Scott and Scott will give a lot more details around the operating and financial aspects of the company in a moment. Last I'd like to thank both operating teams in Texas and in Colorado as well as our EH&S group for a terrific quarter. Safety performance was outstanding and the Wattenberg has gone over one full year without a loss time injury. Next our Delaware midstream monetization process. Last night, we announced we've reached agreements on two of the three components natural gas gathering and processing and water gathering and disposal. Approximately $310 million worth of proceeds, two reliable midstream partners EagleClaw for gas, WaterBridge for water management. Very important both agreements offer very competitive fees that will not adversely impact our operating margins. I'll let Lance give a lot more details on these two transactions in a moment. So what to expect for the balance of 2019? We're on target for our 49 million barrels of oil equivalent production level. Oil mix of 41% to 45%, DCP's Plant 11 is anticipated to come online in June and we expect strong production response related to the startup of this plant. We anticipate PDC's cost structure both LOE and G&A to continue improving throughout the year and expect capital discipline as we're committed to our $840 million spend levels as we pursue free cash flow for the company. And oil remains above $60 a barrel expect us to exit 2019 in an incredibly strong financial position. Finally, I want to briefly discuss the strength of the current PDC board and the tremendous confidence I have in our leadership team. As you are aware this year, an active [ph] shareholder has nominated opposing slate of three director candidates to stand for election at our annual upcoming meeting. After a thorough review of their proposed candidates we determined that our current board already possesses the necessary skills, expertise and background best suited to steer PDC. Since becoming CEO in 2015 I've worked closely with our current board members approximately 50% of whom I've been refreshed in the last four years. I've seen firsthand our board's depth of experience in the critical areas of our business and the diversity of thought they bring to our organization. I've also watched the thoughtful and serious way each Director participates in developing the company's strategy, guiding and overseeing PDC on a regular basis. These efforts have directly led to the strength of the company today and our promising outlook tomorrow. There is no doubt in my mind this board is the right group to navigate the specific challenges and opportunities we're faced with at this time. With PDC's strong board management team and employee base I'm extremely confident in our ability to deliver shareholder value. In the weeks ahead we look forward to continuing in our dialog with PDC shareholders. We're also grateful for the positive feedback and strong support we've received in our discussions to-date. I'd like to remind everyone that the purpose of today's call is to discuss our financial and first quarter results in our very positive long-term outlook. With that in mind, when we open up the call for Q&A, we ask you focus on our current business plan. Thank you in advance for your continued support. With that I'll turn the call over to Scott Meyers for our financial update on the company.
Scott Meyers: Thanks Barton. Starting on Slide 7, we show our US GAAP metrics for the first quarter 2019 compared to our 2018 levels. As you can see, we had 5% increase in our total sales between periods we were especially proud of this growth considering the 16% drop in prices over the same time period. Net loss for the quarter was $120 million and as we'll show in a minute this is due to the changes in the value of our unsettled derivatives. Finally, we show our G&A both in terms of absolute dollars and per Boe compared to 2018. Our G&A is down 12% more on this in a moment. Shifting to our non-GAAP metrics, you can clearly see on the charts changes in NYMEX oil over the past year that I just alluded to. Our adjusted EBITDAX and adjusted cash flow from operations each came in at approximately $200 million. Both of these measurements have grown year-over-year as a result of our production growth outweighing the decreases in oil price. Adjusted net income which came in at $18 million for the quarter compared to only $3 million in the prior year strips out the aforementioned impact of the changes in the value of our unsettled derivates. There are couple things to point out in terms of operating expenses for the quarter. First, our LOE per BOE of $3.14 represents a 6% decline from the first quarter of 2018 and is on track for our stated goal of $3 or less. Our Wattenberg LOE of $2.63 is starting to return closer to our historical run rate thanks to a more manageable operating environment. Scott will give more color on this in a minute. In Delaware, our absolute LOE dollars actually decrease sequentially from the fourth quarter of 2018 to the first quarter of 2019. The increase in LOE per BOE is purely due to the decrease in volumes as a result of the turn-in-lines timing late last year. Last, our TGP between periods increased primarily due to an increase of our oil volumes on pipe. Obviously, this is something we strive from an community and environmental standpoint and we're confident with our full year range of $0.80 to a $1 per Boe. On Slide 10, I want to take a minute to go into more detail about G&A which obviously has become a very important issues across the sector. Clearly as the industry adapts to the new paradigm, G&A represents one of the few costs that we are able to directly control to preserve and enhance our margins. On the top right of the slide, you can see that we've made significant strides in our annual G&A per Boe which has improved 45% since 2015. Looking at our quarterly trends, our first quarter 2019 G&A of approximately 350 per Boe is down considerably quarter-over-quarter. Looking at the first quarter in more detail, you can see we've highlighted several buckets of our expenses. Approximately our $0.25 per Boe or roughly 7% of our first quarter total is what we classified is short-term in nature. This is directly related to our Delaware Midstream divesture which we expect to deliver tremendous value to the company as well as ongoing shareholder activism costs. Another $0.25 per Boe is tied to investments and scale and proved efficiencies most notably the implementation of our ERP system. As we've mentioned in the past, these are investments made in 2018 and 2019 to help set PDC up for the future. Finally, we invest $0.30 per Boe in being a responsible operator particularly in Colorado. This includes our EH&S efforts as well as our community and government relation groups. These ESG dollars are a core component of running a successful respected publicly traded company and will remain a vital part of PDC moving forward. All of these considerations were included in our 2020 G&A target of - for at $3 per Boe. When considering G&A and non-cash G&A as well as the differences between successful efforts and full cost accounting we're happy with the progress we've made and project to continue to make in the years to come. Shifting gears to the balance sheet and financial guidance on slides 11 and 12. There are just a few things I want to call out. Currently, we're approximately $125 million drawn on our revolver after outspending to the tune of $90 million in the first quarter right in line with our budgeted expectations. As we covered in the press release issued last night, we expect to utilize the upfront cash proceeds from the Delaware midstream monetization to pay down our revolver at the time of the expect closing. Assuming $55 crude we expect to outspend again in the second quarter prior to generating free cash flow in the second half of the year. In a minute, I'll go over a two-year outlook at $55 which shows full year free cash flow generation of approximately $65 million in 2019. As you can see, we have a very strong 2019 and 2020 oil hedge program and we just started our 2021 program. In terms of our 2019 financial guidance, we are currently on track to meet each of these cost ranges as well as our projected commodity mix. It is worth nothing that our oil price realizations were very strong in the first quarter highlighted by our Delaware basin realizations of 97% of NYMEX. As we announced on our press release and Bart briefly mentioned. We've announced our intent to return capital to shareholders via stock repurchase plan. This program is approved for up to $200 million with a targeted completion timeframe of the third quarter of 2019 through year end 2020. Importantly, and as a differentiator to many of our peers we intend to fund this program through free cash flow that we project to generate over this time period. While we believe, this is a strong statement regarding the confidence in the depths and the quality of our inventory is also important to note, that given our strength of our strategy and our current operating plan as well as current crude prices. This does not roll out the potential for optimistic inventory add and additional returns of capital to our shareholders in the future. We've more detail in this in coming quarters, but at this point we plan to complete this repurchase through two tranches. One will be executed systematically and one will be a bit more optimistic and dependent upon market conditions. On Slide 14, we now show our two-year outlook updated from $50 to $55 oil due to the material change in crude pricing since the last time we presented. As you can see our free cash flow margin, growth per debt adjusted share have all increased in both years compared to what we introduced last year. We believe these are all top tier. It's worth pointing out again, that our 2020 capital plan which is slightly higher than our 2019 includes allowance for increased activity due to the operational efficiencies which you'll see in a minute. With that I'll turn the call over to Scott Reasoner.
Scott Reasoner: Thanks Scott and good morning, everyone. We're now on Slide 16. As Bart and Scott have mentioned we had really strong results and performance that has led us to a solid quarter compared to our internal expectations. Production of approximately 125,000 barrels of oil equivalent per day and 40% crude represents nearly 20% oil growth year-over-year. In the Wattenberg, we averaged 100,000 barrels of oil equivalent per day and had 38 spuds and 32 turn-in-lines. Well in the Delaware we spud 10 wells and turned-in-line nine for a total capital of $145 million. This included approximately $20 million related to our midstream assets. As Lance will touch on in a moment, avoidance of future capital investment in our midstream assets will help in our continuing efforts to control our capital spending. We show a little more detail around our quarterly production in LOE on Slide 17. As you can see, we grew over 25% on an annual basis. First quarter production included modest sequential growth from the Wattenberg while Delaware volumes decreased from the fourth quarter of 2018 due to our turn-in-line schedule. As I just mentioned, we did have nine Delaware turn-in-lines this quarter that are expected to provide solid growth in the second quarter as we're currently averaging more than 30,000 barrels of oil equivalent per day. In terms of our LOE, we're getting back towards our more typical run rate especially in Wattenberg. Both basins were in line from a total expense standpoint with Wattenberg decreasing and Delaware increasing and LOE per Boe due to the volume profile we just covered. Moving to Slide 18 in a more detail in the Wattenberg. We are very pleased that our first quarter well cost have come in around $100,000 to $200,000 below budget. This may not seem like a big improvement, but when you consider our 2019 program has approximately 120 turn-in-lines it quickly adds up to material savings. In the first quarter, we're bit ahead of schedule on completions leading to slightly accelerated cost compared to budget. We plan to keep an eye on both these trends as we move through the year. As it stands, we have the ability to flex our completion schedule to ensure we stay within our capital budget. From a midstream perspective, overall performance has been pretty solid to start 2019. DCP's O'Conner Plant 11 and Big Horn Plant 12 are on track for June 2019 and mid 2020 startup respectively. And as you can see on the graph on Slide 19, the overall trend on PDC gross gas volumes is up from last summer while average Kersey Line Pressures are down. If you focus on the red circle, we highlighted the span of a couple weeks that had severe weather and planned down time. Similar to the last time we showed this chart, you can see the impact of both volumes and line pressures when the system is not operating at close to 100%. This is to say, that while the operating conditions are improving we're still eagerly awaiting the startup of Plant 11, Plant 12 and other non-DCP plants over the next year or so. Switching to Slide 20 in the Delaware, you can see we have a very similar story. From a well cost perspective we have been executing better than planned as we're approximately 5% below budget. Similar to Wattenberg, these trends have our full attention and we will continue taking the necessary actions to stress our capital discipline. At this point, in order to offset an additional three or four wells that we project to spud compared to budget. We have decided to delay the completion of our seven-well Tinman project in favor of a four-well pad in our North Central area. As a reminder, the Tinman is an MRO pad and the new four-well pad is XRLs. This change in our completion schedule results in an immaterial change to our forecast production in 2019 and 2020. With both per well D&C cost and midstream capital savings in 2019 offsetting the drilling pace. This decision is a perfect example of our committeeman to capital discipline and execution of our strategy. Moving to Slide 21, we show improving trends on both the drilling and completion side of things. Keep in mind from the time of our acquisition while closed in December 2016 we've taken several measures to arrive at where we are today. First, we had to right-sized our drilling fleet to get the horsepower and equipment needed for our development. Second, we've successful transitioned from single well acreage holding mode to pad drilling in a focused consolidated position. Third, we've modified our completion design to wider stages with similar proppant [ph] loads. These are all normal course of business for a new entrant into a basin. And I want to commend our team for achieving these results. In terms of drilling, we continue to focus on drilling longer laterals and have improved on our average drill times from spud to rig release by 40% since closing. Keep in mind, this is not normalized to reflect the increased laterals so our per foot numbers would be even stronger. We've coupled that improvement with 40% improvement in our average completion cost per foot. This is a testament to both our completion crew which has been clicking on all cylinders and the utilization of local sand which saves us a $200,000 per well. A final note, we have recently drilled an MRL well in 19 days and an XRL in 22 days from spud to rig release. These are well below the average and provide the line of sight for future reduction in drill days and thus costs. In addition, our use of in basin sand and longer stage lengths continue with a watchful eye on well productivity. This has the potential to further reduce costs. With these efforts we expect our cost to continue to come down through the year. Before turning the call over to Lance, I want to spend a little time discussing some of our recent well results. First is our Windy Mountain pad. As you can see on the map, these XRL wells are located in close proximity to our Grizzly pad in Area 3 of Block 4. As we mentioned, when originally discussing our Grizzly results some of the valuable learning's we captured in this low GOR included differentiating between the upper and lower Wolf Camp A. The Windy Mountains targeted the lower B and are producing approximately 165 barrels of oil equivalent per day per thousand feet and 60% oil. These are strong wells above our expectations for the area that have us encouraged as we look toward completion of the Tinman wells in early 2020. Next we have the Argentine pad in Area 2. This pad includes both a Lower B testing and accelerated flow back technique and our first well testing the third Bone Spring. In terms of the Lower B, you can see this well is averaging well over 200 barrels of oil equivalent per day per thousand feet and an impressive 75% crude oil. Meanwhile, our Bone Spring well which is yet to reach peak production is averaging just under 200 barrels of oil equivalent per day per thousand feet and 70% oil. These results while extremely early have us very excited about the prospectively of these benches. I want to instill a bit of caution before we assume this Bone Spring could add a large amount of inventory. It's very important to realize that as we continue to figure out the long-term ramifications of the current child and child-child relationships. Successful Bone Spring wells may simply improve our total returns per section without increasing the absolute number of wells per section. Look for us to continue evaluating data from these wells as well as the drilling of several Bone Spring test in 2019 with completion in 2020. All in all, I'm extremely proud of our teams and the tremendous results they are delivering. We just went through lower cost per well from improving drilling and completion times in the Delaware. Terrific Delaware well test and an improving Wattenberg midstream environment. All of which we expect to drive strong performance through the rest of the year and into 2020. With that I'll turn the call over to Lance to review our midstream transactions.
Lance Lauck: Thanks Scott. We're very pleased with executed definitive agreements to sell our gas-related midstream assets to EagleClaw midstream and our water related midstream assets to WaterBridge. Both EagleClaw and WaterBridge are two premier midstream providers that have substantial existing, large scale midstream infrastructure in the Delaware basin. Additionally both parties are already providing midstream services for PDC in our eastern area. The combined purchase price for both transactions totaled approximately $310 million of which $225 million will be an upfront payment at closing and the balance of $82 million as an unconditional payment one-year from closing. Additionally PDC can earn up to a combined additional $135 million if you perform space incentives over the next several years. The structure of the long-term service agreements include an AMI, no volume commitments from midstream services. Midstream operational performance terms and fee-based contracts. We anticipate closing mid-2019. The slide also highlights several key benefits to PDC. Cash proceeds in both year strengthen our balance sheet and fund operations. Market competitive third-party fees which is important to us as we did not want to dilute our strong margins. One of the key provisions of the service agreements is takeaway flow assurance and access to major gas markets. Finally, these transactions results in the avoidance of substantial future midstream capital to PDC which we estimate at $50 million to $100 million per year over the next several years. This next slide highlights more of the details of the two midstream asset transactions. It includes the specific proceeds and incentives for both the gas and water transactions. Looking at the service agreement provisions and first for EagleClaw. We've executed a 20-year contract that provides multiple gas related midstream services. Additionally, we've committed a portion of the company's projected future, Delaware basin residue gas volumes to a long-term transportation agreement on the Permian highway gas pipeline. This pipeline with the projected startup fourth quarter 2020 will transport a portion of the company's residue gas volumes from Waha to premium Gulf Coast markets. Now looking at WaterBridge, we've executed a 15-year contract that provides multiple water related services including gathering, disposals and an option for recycled water back to PDC for completion operations. Importantly, we anticipate that 100% of our produced water will be transported via pipe. Finally, I want to note that we're in the final stages of negotiations with a third midstream provider to acquire our Delaware basin crude oil gathering assets. In closing, I want to thank our midstream marketing, construction and legal teams for the tremendous work and success of our Delaware midstream asset divestiture program as these transactions represent tremendous value add for PDC. The structure of the transactions are balanced. They include upfront cash, incentive payments, market based fees and avoided midstream capital. I also want thank Jefferies as PDC's exclusive financial advisor in connection with these transactions. We're very pleased to entered two long-term partnership with EagleClaw and WaterBridge again both of whom are premier midstream companies with great operating teams and significant in basin infrastructure. And again, we look forward to finalize our crude oil gathering asset sale in the near future. So with that, I'd like to turn the call over to the operator for Q&A.
Operator: [Operator Instructions] and our first question comes from Welles Fitzpatrick with SunTrust. Please proceed.
Welles Fitzpatrick: Sticking with the midstream, can you talk to the minimum levels of activity on the EagleClaw contract and also could you talk to, whether the kind of back half and I guess preliminary 20 plan for two rigs would hit some or all of the incentive bonuses?
Lance Lauck: This is Lance. Our incentive payments the way that we structure that is for one of the companies been with EagleClaw to be based upon volumes that are produced above and agreed to volume that's in our agreements with them. And so as we look at our activity going forward and we look at the volumes that are the minimum that are part of that contract also when we exceed that minimum amount then we get into the incentive payments. The incentive payments will then go over a significant number of years and there's a lot of different factors and criteria that go into that. But from where we sit today, we're pleased with how it's structured and we think it's something that we'll be able to gain value with overtime.
Welles Fitzpatrick: Okay that makes sense and I'm going to throw a Hail Mary here, but if there's any chance you could guide us in on oil gathering what that EBITDA might look like, so you might be able to model in some sort of transaction.
Lance Lauck: I appreciate that Welles. Yes, we're not providing any EBITDA factors or numbers associated with the crude oil gathering systems. But clearly, we're in the very final stages of negotiations with that third midstream provider and I hear very soon we'll be able to announce the results of that.
Welles Fitzpatrick: Fair enough, appreciated. Thank you.
Operator: Thank you. And our next question comes from Brian Downey with Citigroup. Please proceed.
Brian Downey: Great I had a question about the Delaware. I appreciate you taking the questions, I understand you announced some good Argentine well results in Wolf Camp B and 3rd Bone Springs versus [indiscernible] more focused on the Wolf Camp A. just curios as you substitute the above scale pattern for the Tinman and therefore inherently few return lines in Area 3 for 2019. Were there any of the results to-date have changed medium to longer term about the more [indiscernible] development in the Block 4 area. I know you touched on some commentary on the Bone Springs but anything additional will be helpful.
Scott Reasoner: Brian this is Scott. I would say, the answer is no. the reason we switched out of the Tinman or the Tinman completion is purely based on capital management. When we look at that area overall as we discussed the Windy Mountains we're still learning a tremendous amount about the area and it definitely excites us about where we're going with that area. It's such that it is lower GOR that does present some questions about when you add the artificial lift, those types of things. But we still have a tremendous amount of expectation there for that particular area and don't see it being any kind of problem. Just looking at it first in the queue in 2020 is what we're looking at today.
Brian Downey: Got it helpful. And then I guess quick one on the Wattenberg. You mentioned the potential to adjust timing of the frac holiday given you're ahead of schedule on the completions there. I know you also have some flexibility there with duc counts and completions in 2020. But curios of that effect the inherent 2020 cadence of production or activity - given a ton of detail beyond the high level got adjusted growth, but curios on that front.
Scott Reasoner: I'll start with this and then Scott Meyers may jump in, when we look at the effort that our teams have put in up to this point. It's been terrific. We've been ahead of schedule that's just been executing really cleanly out in the field. We see that continuing through the year at a fairly solid pace as you would expect that could cause us to lay down that frac crew a little bit earlier and that would bring some additional downtime at the end of the year. It really does begin to effect early 2020 in terms of productivity, but we've been modeling that all along in our expectations for 2019 and 2020. If you look at that frac hiatus that you have at the end of the year. It really ends up effecting 2020 the most, as we saw with our Delaware stoppage this past year and expect late this year as well, as we lay down the frac crew there's too. So Scott, did you have other comment?
Scott Meyers: No, I would just say that from a material standpoint our 2020 would not be significantly impacted just little bit of timing around the quarterly trends. But as Scott said we factored in frac holiday in 2019 already so it's really in line with expectations and maybe just has to be down for an extra week or two.
Brian Downey: Yes, got it appreciated.
Operator: Thank you. And our next question comes from Irene Haas with Imperial Capital. Please proceed.
Irene Haas: So my question has to do with you mentioned earlier, that the share buyback will be done in two tranches and I guess this one is going to be done on a more regular basis than rather opportunistic. Can you tell me, what's the split between the two? I mean $200 million is a very, very meaningful and could result to quite a decrease in share count?
Bart Brookman: Yes, we still have some time to be reviewing it with our Board of Directors, we've laid out our plan and we're still finalizing. But I think you - from a standpoint it will probably be about half and half, it's what our thought is right now. We want to make sure we start the program, we get some dollar cost averaging in the buybacks, but also have a portion that we could, if we see a material move down for a short period of time due to oil prices or something like that, we could optimistically buying back at little effective rate. So I would say model with 50-50 for now, but we've more to come in that the next couple of months as we get closer to beginning to execute the plan which will be in the third quarter of this year.
Irene Haas: Great, thank you.
Operator: Thank you. And our next question comes from Gabe Doud with Cowen and Company. Please proceed.
Gabe Doud: Maybe just a quick follow-up on the midstream sales. Obviously nice to get that done and on the crude gathering, maybe just asking the question little bit differently. Could you maybe remind us or just tell us what the percentage of the $150 million invested capital and the total? What percentage of that is related to the crude gathering piece, if you could disclose it?
Lance Lauck: Gabe this is Lance. We haven't broken that out. We've spoken to the $150 million invested since the acquisition and that was as of the year end 2018. Of course we got some spending time this year as well, that I'll add to that. So we haven't broken that out specifically. But again we're in the final stages of that negotiation and we anticipate that transaction will be announced here soon.
Gabe Doud: Okay great, thanks a lot. And then just a quick follow-up I guess. Can you maybe talk about the trajectory for I guess both volumes and capital throughout the rest of the year? I guess particularly as DCP's Plant 11 should come on here pretty soon.
Lance Lauck: Yes, I would say from a volume perspective we think that we'll have a stair step in the second quarter another stair step in the third quarter. Fourth quarter being a smaller step is the completions activity in the Delaware slowdown. And I think from a capital perspective you're going to see our second quarter capital being close a little bit less than it was in the first quarter and the material drops in the third and fourth quarter with our rig drop that we have scheduled in the Delaware and the frac holidays that we mentioned both in Delaware and in the Wattenberg, with that lining us up towards that 840 midpoint number.
Gabe Doud: Okay, great. That's very helpful. Thanks everyone.
Operator: Thank you. [Operator Instructions] our next question comes from Joe [indiscernible] with Oppenheimer. Please proceed.
Unidentified Analyst: I just had quick question on the Delaware cost side, you guys have done obviously some good things, bringing your completion cost down. Do you see that percentage of using in basin sand going up over time or do you think where you guys are now that 50% is kind of sweet spot for you?
Scott Reasoner: So it's a really good question and it's something that we're constantly in the thought process of how do we continue to expand it because obviously there is cost savings associated with that. We've tested up to 75% sand in basin sand in the Delaware. It's still something that we're watching carefully. You're switching from 40-70 northern to 100 mesh in basin sand and not something we just want to make sure we're not seeing a degradation in the productivity of our wells. Obviously we're pushing toward that as quick as we can. We realize other folks are using that, other peers are using 100% in basin. But at this point we're just going about it cautiously and don't want to have a negative impact on our productivity of our wells.
Unidentified Analyst: Okay, that's all from me. Thanks again.
Operator: Thank you and with that, this concludes our Q&A session for today. I would like to turn the call back over to CEO, Bart Brookman for closing remarks.
Bart Brookman: And thank you Tiffany and thank you to everybody for joining the call and your ongoing support and we'll be seeing a lot of you here in the near future.
Operator: Ladies and gentlemen. Thank you for your participation in today's conference. This concludes the program. You may now disconnect. Everyone have a great day.